Operator: Greetings, and welcome to the Invitation Homes Fourth Quarter 2018 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. At this time, I would like to turn the conference over to Greg Van Winkle, Senior Director of Investor Relations. Please go ahead, sir.
Gregory Van Winkle: Thank you. Good morning, and thank you for joining us for our fourth quarter 2018 earnings conference call. On today's call from Invitation Homes are Dallas Tanner, President and Chief Executive Officer; Ernie Freedman, Chief Financial Officer; and Charles Young, Chief Operating Officer. I'd like to point everyone to our fourth quarter 2018 earnings press release and supplemental information, which we may reference on today's call. This document can be found on the Investor Relations section of our website at www.invh.com. I'd also like to inform you that certain statements made during this call may include forward-looking statements relating to the future performance of our business, financial results, liquidity and capital resources and other non-historical statements, which are subject to risks and uncertainties that could cause actual outcomes or results to differ materially from those indicated in any such statements. We describe some of these risks and uncertainties in our 2017 annual report on Form 10-K and other filings we make with the SEC from time to time. Invitation Homes does not update forward-looking statements and expressly disclaims any obligation to do so. During this call, we may also discuss certain non-GAAP financial measures. You can find additional information regarding these non-GAAP measures including reconciliations of these measures with the most comparable GAAP measures in our earnings release and supplemental information, which are available on the Investor Relations section of our website. I'll now turn the call over to our President and Chief Executive Officer, Dallas Tanner.
Dallas Tanner: Thank you, Greg. We are excited to report a strong finish to 2018 and favorable momentum into 2019. Our location, scale and platform continue to create a best in class experience for our residents, evidenced by our industry leading resident turnover rates, blended rent growth has accelerated for each of the past three months to levels significantly higher than last year and solid occupancy positions as well to continue capturing acceleration in the 2019 peak leasing season. We are also driving better efficiency on the R&M side of our business which resulted in fourth quarter performance that exceeded our guidance. Our strong finish to the year brought core FFO per share growth for the full year 2018 to 14%. Before discussing what this momentum may translate to in 2019. I want to take a moment to review our performance on the 2018 operational priorities that we communicated to you at the beginning of the year. Our first objective was to deliver strong, consistent operational results across our core portfolio. We met our expectations for the top line with 4.5% same store core revenue growth, which outpaced residential peers. However we can execute better on the expense side of the business. After identifying opportunities to be more efficient with repairs and maintenance last summer, our teams have done a great job of starting to capture some of these opportunities. We have more work to do but are pleased with how our performance improved in the second half of 2018. Our next objective was to further enhance the quality of service we provide to our residents. The ultimate scorecard on service comes when it's time for residents to make a renewal decision and we are thrilled that our turnover rate on a trailing 12-month basis improved each quarter in 2018 to new all-time lows. Our third operational priority was to execute on our integration plan. In addition to finding an incremental $5 million of projected end-stage synergies, we also beat expectations for 2018 achievement by capturing $46 million of annualized run rate synergies in the year. With respect to investments, our priority was to continue increasing the quality of our portfolio by recycling capital. In total in 2018, we sold roughly $500 million of primarily lower rent band homes that no longer fit our long-term strategy. We recycled capital from dispositions into both the purchase of almost $300 million of homes in more attractive sub markets with higher expected total returns and prepayments of debt. Finally, we made progress on our path to an investment grade balance sheet. We reduced net debt to adjusted EBITDA to below 9 times, compared to approximately 11 times that our IPO in early 2017. We also improved our weighted average maturity and cost to debt. Looking ahead to 2019, we are excited about our opportunity for growth. Let me address these three opportunities in particular. Revenue growth, expense controls, and capital allocation. With respect to revenue growth, fundamentals are as strong as they've ever been for single family rental. In our markets, household formation in 2019 are forecast to grow at almost 2% or 90% greater than the U.S. average. Construction of new single family homes is not keeping pace with this demand and has recently slowed further. In addition, affordability has become a bigger challenge for potential homebuyers due to a combination of home price appreciation and higher mortgage rates, compared to last year. We are seeing this play out in our portfolio today with same-store move-outs to homeownership down 17% year-over-year in 2018 Leading housing economist John Burns estimates that the cost to rent a single family home is lower than the cost to own a comparable home in 15 of our 17 markets today by an average discount of 16%. We believe our product provides an attractive solution for customers who want to live in a high-quality, single-family home without making the financial commitment of homeownership. Furthermore, we believe the location of our homes in attractive neighborhoods close to jobs and great schools and the high touch service we provide differentiate Invitation Homes and make the choice to lease with us even more compelling. Regardless of what the broader economy may bring in the coming years, we feel that our business is well-positioned. Even if we were to experience a cooling of the economy, our portfolio could continue to benefit from demographics that are shifting more and more in our favor and from a sticky single-family resident base that would likely find homeownership incrementally less attractive under more challenging economic conditions. We are also excited about our opportunity on the expense side of the business and are focused in 2019 on adding to the progress we made in the second half of 2018, newly implemented changes to our repairs and maintenance workflow and route optimization systems are paying dividends already. But we still have plenty of opportunity to be more efficient. We also believe the integration of our field teams and property management platform in 2019 will be a positive catalyst for expense improvement. With one team operating on one platform, we will be better position to find new ways to refine our business and take residence service to higher levels. With respect to capital allocation, our plan in 2019 remains focused on the dual objective of refining our portfolio and reducing leverage on our balance sheet. The markets we are in remain healthy, providing compelling opportunities on both the acquisition and disposition sides for us to achieve our capital recycling goals abundant capital from potential buyers and limited inventory in our markets create an attractive opportunity for us to prune our portfolio. We also have multiple uses for these proceeds including buying homes in more attractive submarkets, reinvesting in our portfolio through value enhancing CapEx and prepaying down debt. Before we move on I want to say a few quick words about our team. It is a thrill to have the opportunity to leave the company I founded with my partners, a company that is full of talented people from top to bottom. I'm fortunate to be stepping into the CEO role with the company in an outstanding place. Thanks in part to the leadership of Fred Tuomi. Fred helped to guide Invitation Homes through what has been a very successful merger and integration. This positions us to move forward better than we've ever been before. We thank Fred for his leadership and wish him the absolute best. Moving forward, we will continue to stay true to our DNA and the strategic path we've been on since day one. We'll put residents first. We'll drive organic growth and an outstanding living experience by leveraging our competitive advantage of location, scale and high touch service. We will be opportunistic with respect to external growth. We'll progress toward an investment grade balance sheet and we will do all of this with the best team in the business. I am fortunate to be surrounded by true experts and industry pioneers on our field and corporate teams as well as in our board room. To all of our associates, thank you for a great finish to 2018 and let's continue to build on our momentum in 2019. With that, I'll turn it over to Charles Young, our Chief Operating Officer to provide more detail on our fourth quarter operating results.
Charles Young: Thank you. As Dallas said the fourth quarter of 2018 was a great one for us operationally. Our teams did a fantastic job capturing rent growth and occupancy to put us in a strong position going into 2019 drove better R&M efficiency resulting in outperformance of our guidance in the fourth quarter. And most importantly, we continue to provide outstanding resident service. I'll now walk you through our fourth quarter operating results in more detail. Same store core revenues in the fourth quarter grew 4.6% year-over-year. This increase was driven by average monthly rental rate growth of 3.8% and 70 basis point increase in average occupancy to 96% for the quarter. Same store core expense growth in the fourth quarter was better than expected. Core controllable costs are down slightly year-over-year even with a tough R&M comparison versus the fourth quarter of 2017 due to that year's hurricanes. Property taxes increased 15.1% year-over-year in line with our expectations due to the timing items discussed on last quarter's call. As a result, overall same store expense growth was 7.4% year-over-year. This brought our fourth quarter 2018 same store growth to 3.2%. For the full year 2018, same store NOI growth was 4.4%, 66 basis points ahead of the midpoint of guidance provided on our last earnings call. Importantly, we have made steady progress on improving our R&M efficiency by implementing numerous changes to systems and processes after opportunities for improvement were identified. With these changes we have improved how work orders are allocated between in-house technicians and third parties. Our corresponding service trips are scheduled and the routes that technicians follow to optimize their time. In the fourth quarter, we also rolled out an important update to our technology platform that enabled all of our internal technicians to perform work on any home in our portfolio not just the homes associated with our legacy organization. This made a material difference in the productivity of our maintenance technicians in the fourth quarter. We still have work to though and we'll continue implementing process improvements and ProCare enhancements in the months leading up to 2019 peak service season. Next, I'll provide an update on integration of our field teams. After successful results in the testing phase, we began market implementation of our unified operating platform in November. As of today, we have teams in five markets, representing almost 40% of our homes functioning under our go forward structure and platform. Transitions have been smooth and feedback from the field teams have been extremely positive. We plan to roll out the platform to our remaining markets in waves over the next several months. This rollout is expected to unlock the remainder of the $50 million to $55 million of total run rate synergies we have guided to by mid-2019. As of year-end 2018, our run rate synergy achievement was $46 million. Next, I'll cover leasing trends in the fourth quarter of 2018 and January 2019. Fundamentals in our markets remain as strong as ever and we're executing well. Both renewal rent growth and new lease rent growth have increased sequentially in each of the last three months. Renewals average 4.7% in the fourth quarter 2018 and new leases average 2.1%. Notably new lease rent growth is now exceeding prior year levels and was a full 70 basis points ahead of last year in the fourth quarter of 2018. This resulted in blended rent growth of 3.7% in the fourth quarter of 2018 of 20 basis points year-over-year. Same time resident turnover continue to decrease driving occupancy to 96% in the fourth quarter of 2018, up 70 basis points year-over-year. Each of these leasing metrics improved further in January. Lender rent growth average 4.3% in January 2019, up 90 basis points year-over-year and occupancy average 96.2% in January 2019also up 90 basis points year-over-year. The fundamental tailwinds that are back in occupancy in a strong position we are confident as we start to New Year. Our field teams are focused on execution and are excited to leverage our integrated platform to deliver even more efficient resident service. With that, I'll turn the call over to our Chief Financial Officer, Ernie Freedman.
Ernest Freedman: Thank you, Charles. Today, I will cover the following topics, balance sheet and capital markets activity, financial results for the fourth quarter and 2019 guidance. First, I'll cover the balance sheet and capital markets activity where we had a very active and successful year. Let me start with a few highlights about where we started 2018 versus where we ended it. Net debt $9.1 billion to start the year, $8.8 billion to end the year. Net debt to EBITDA 9.5 times to start the year, 8.8 times to end the year pro forma in the conversion of our 2019 convertible notes. Weighted average years to maturity 4.1 to start the year, 5.5 to end the year. Unencumbered homes 42% of homes to start the year, 48% to end the year in weighted average interest rate 3.4% to start the year, 3.3% to end the year in a rising rate environment. We accomplished all this by prioritizing free cash flow in both disposition proceeds for debt prepayment and by refinancing debt in 2018 with $4.2 billion of proceeds from our four new securitizations. While we remain opportunistic, we anticipate less refinancing activity in 2019 with no secured debt maturing in 2019 or 2020 in only $373 million maturing in 2021. However, we will continue to prioritize debt prepayments as part of our efforts to pursue an investment grade rating and have made incremental progress already with the prepayment of $70 million of secured debt in January. We will continue our deleveraging strategy by electing to settle conversions of our $230 million of 2019 convertible notes in common shares. We view this decision as a way to reduce net debt to EBITDA by approximately 0.25 turns while incurring minimal incremental dilution to core FFO per share. Our liquidity at quarter end was over $1.1 billion through a combination of unrestricted cash and undrawn capacity on our credit facility. I'll now cover our fourth quarter 2018 financial results. Core FFO and AFFO per share for the fourth quarter increased year over year to $0.30 and $0.25 respectively. Primary drivers of the increases were growth in NOI and lower cash interest expense per share. For the full year of 2018, core FFO and AFFO per share increased 13.7% and 8.1% respectively. As a result of our anticipated growth in AFFO per share in 2019, we've increased our quarterly dividend to $0.13 from $0.11 per share. We continue to target a low dividend payout ratio as we believe a beneficial use of cash is to further pay down debt. The last thing I will cover is 2019 guidance. As Dallas and Charles discussed, we believe that we continue to have strong fundamental tailwinds at our back and entered the year from a strong occupancy position with accelerating rate growth. As such we expect to grow same store revenue by 3.8% to 4.4% in 2019. Home price appreciation in our markets over the last year or two suggest that growth in real estate taxes in2019 is likely to remain elevated, albeit lower than the growth we saw in 2018. As a result, we expect overall same-store core expense growth to moderate from 2018 levels to 3.5% to 4.5% in 2019. Core controllable expenses are likely to grow less than that as we believe we have positioned ourselves to better control R&M cost in 2019, but we still have work to do. This brings our expectation for same-store NOI growth to 3.5% to 4.5%. Full year 2019 core FFO per share is expected to be $1.20 to $1.28 and AFFO per share is expected to be $0.98 to $1.06, representing year-over-year increases of greater than 5% and 7% at the midpoints respectively. Primary driver of these expected increases its growth in same-store NOI. Lower property management and G&A expenses and lower interest expense are also expected to contribute to growth. A detailed bridge of our 2018 core FFO per share to the midpoint of 2019 core FFO per share guidance can be found in our earnings release. There are a handful of items likely to impact the progression of same-store growth in core FFO and AFFO growth from a timing perspective over the course of the year. With respect to revenue growth, occupancy comps are easier at the start of the - at the start of the year versus later. Regarding expenses, core expense growth is likely to be highest in the first quarter. First while we have made great progress addressing items related to our integrated R&M system that drove inefficiency in 2018, we still have work to complete as part of our plan. We do not expect to be fully optimized in the first quarter of 2019. Second, as we discussed last year, other income and resident recoveries in the first quarter of 2018 were higher than normal as a result of post-merger alignment of the resident utility bill back timing across the two legacy companies. This will create a more difficult comparison for core expense growth in the first quarter of 2019. These two items are expected to more than offset the favorable impact of comping against a period in the first quarter of 2018 with higher than normal work order volume as a result of 2017's hurricanes. Also regarding expenses the year over year increase in real estate taxes is likely to be materially lower in the fourth quarter of 2019 than in the first three quarters of the year. As discussed previously we booked an unfavorable Real Estate Tax catch up in the fourth quarter of 2018 for tax assessments that came in higher than expected, this creates an easier comp for the fourth quarter of 2019. Finally the 2019 convertible notes are expected to convert to common shares on July 1 of 2019. This will impact the interest expense and share count used to calculate core FFO and AFFO per share by treating the notes as debt for the first half of 2019 and is equity for the second half of 2019 assuming that the notes convert as expected I'll wrap up by reiterating how much we are looking forward to 2019. Fundamentals are in our favor and we have multiple levers we believe we can pull to create value. We're excited to move on to one platform across the entire organization and to execute on that platform to deliver outstanding results to both our residents and our shareholders. With that operator would you please open up the line for questions.
Operator: [Operator Instructions] The first question will come from Nick Joseph of Citi. Please go ahead.
Nick Joseph: As you roll up unified operating platform across the portfolio, what lessons have you learned from the process and are you making any adjustments for the other markets based off of them?
Charles Young: This is Charles. We've made really good progress in implementing the combined portfolio rollout. We've as I said in my remarks we've implemented about five markets which equals about 40% of our total homes. We've been really thoughtful based on what we learned in 2018 that we've taken really measured pace and how we roll it out. We expect to be done around 2019. We made a decision to implement in the slower time of the year which is working in our favor more careful also around the timing and which we roll it out during the month to make sure that we're not impacting the field teams. We went through multiple rounds of testing to make sure that things were working as expected before we went in. We have great training, we've learned from each of the rollouts to get better in our training and implementation has been great. The feedback from our field teams have been very positive. And as I've said we expect that we'll be there by mid-year. Bottom line is the teams are really excited to get one combined platform because they were working in multiple systems before so we see this as a really positive thing.
Nick Joseph: And Dallas, congratulations on the promotion. When you took over as Interim President in August, the board formed a special committee to work with you and the team during Fred's absence. Is that committee still in place and what's the board's will today?
Dallas Tanner: Thanks for the question and excuse me the compliment. Yeah. The board is still functioning in a similar fashion as we were in that executive committee will stay in place through 2019. As you guys know we have a very supportive board with the ton of excellent experience behind it. So we'll continue to use that it's been strategic for us as we've embedded out some these things that Charles just discussed in terms of how we would integrate going forward and we talked through some of the process so they've beenvery supportive in that capacity and we would anticipate them to continue doing so.
Operator: The next question will be from Drew Babin of Baird. Please go ahead.
Drew Babin: As it pertains to AFFO guidance, most of it, can you talk about the direction of recurring CapEx per home on - in 2019, understanding that in 2018 with the Starwood Waypoint merger there might have been a little bit of noise there. Can you just give us a little more color on the trends in that number as well as how you think about our revenue enhancing CapEx this year?
Ernest Freedman: Drew, this is Ernie. With regards specifically to our recurring CapEx, we expect overall net cost to maintain which is both our operating expenses associated with repairs and maintenance as well as turnover - as well as the capital associated with it and that would be our recurring CapEx. Maybe we think that's going to be up you know approximately about 3% year-over-year. We definitely have some easier comps to go up against in and we certainly had some improvements but as we talked about in the prepared remarks, we're not fully optimized today. And of course we want to be cautious before we get into peak leasing season, before we getting too far ahead of ourselves where things may end up, where we sit today and where we're at with the progress you made. We feel like we're back to a more normal type growth rate with the opportunity to maybe do better as we go forward. So you know I would expect plus or minus in the 3% range for net costs to maintain to grow. And Drew, remind me with what the second part of your question was?
Drew Babin: As revenue enhancing CapEx, whether we can expect any kind of directional change from last year there?
Dallas Tanner: Drew, this is Dallas. I'll answer this. We'll continue to expect our focus to continue to find ways to optimize these assets on a like-for-like basis as they turn. Now some of that allows us these opportunities with revenue enhancing CapEx, I would expect that program to continue to develop. If not you know maybe be a little bit more active as we spread into some more West Coast markets. We certainly see a number of different opportunities outside of just the smart home functionality Some of our West coast markets. We certainly see a number of different opportunities outside of just the Smart Home functionality with which we're continually adding into the portfolio today we're finding that our customers they're sticky by nature. But what's been really interesting over the past year as we've piloted revenue enhancing CapEx and gotten better at how we implement that process is how many times our customers on a renewal or on a new lease want to actually pay up to optimize parts or sections of their house. This is a win for both us and the customer because we're able to harden the asset in the area and also get a better risk adjusted return on the revenue increase and that's outside of the way we would normally underwrite a property so expect us to do more of it. We're looking and getting smarter, Charles and team have done a terrific job on the procurement side to find ways that we can continually enhance that experience for the customer.
Drew Babin: And then lastly just on the guidance expectations non-cash interest and share based comp I was hoping you kind of give us those numbers just given the accounting kind of how those play into the core FFO calculation.
Dallas Tanner: Drew we have not provided guidance for those in the past. So let me think about what we can do and get something out there for folks to help with modeling but don't have anything I can share with that with you today.
Operator: And the next question will be from Douglas Harter of Credit Suisse. Please go ahead.
Douglas Harter: I was just hoping you could talk about where you are in the process of optimizing the portfolio and kind of how you think about the home count as we move through 2019.
Dallas Tanner: We've been pretty vocal about our desire to continually refine and optimize the portfolio and the nice thing about the merger is we've had enough time and distance. We knew there were some homes initially both with which we wanted to sell and also some areas where we wanted to scale up and could find and drive greater efficiencies in the portfolio by acquiring, we expected to do more of the same. We had a pretty busy year in terms of what we were selling and it comes in a variety of shapes and sizes to why we sold. We certainly were active in parts of Florida where we now on a combined basis had over 25,000 homes post-merger expect us to continually look for areas like that where we can continue to refine the portfolio, create efficiencies for the operating teams and build on the scale and density that we have in those markets. In addition, we also had outlier locations or geographies where we'll - at times or seasons look for ways to refine and improve the way that those parts of the portfolio is behaving. And lastly I just add there are occasions and we're starting to see this a little bit in some of our West Coast properties where if a home just becomes too valuable and ultimately we think it's better suited for an end user, we'll sell that home and take those gains and recycle capital into parts of markets where we see still significant opportunities for good risk adjusted return.
Douglas Harter: Just following up on that, what are the markets where you see the best opportunities to kind of recycle capital into?
Dallas Tanner: Well, you know funny enough we were pretty active in 2018 and still a lot of West Coast markets, we've been pretty vocal about the fact that we love Seattle, we love the growth that's going on there. It's evidenced in some of the new lease and renewal rates that we're seeing in the business today. We also still are finding really good opportunities in the southeast. And if we could, we'd buy more in California and markets if those opportunities were available to us. We just see limited supply in today's environment. As we've stated household formation in our markets today is almost 2 times that the national average and we're feeling that in the parts of our business specifically around new lease growth and renewals. But generally speaking you've seen that we've been getting out of parts of the Midwest over time and we've continued to recycle coastal where the majority of our footprints are today.
Operator: The next question will be from Shirley Wu of Bank of America Merrill Lynch. Please go ahead.
Shirley Wu: So in your expense guidance a 4%, do you think you could break out like different pockets in terms of growth for personnel or R&M for 2019?
Dallas Tanner: Yes. Really what we're comfortable providing today is because taxes are almost half of our expense number, I can provide some - some guidance around what we think is going to happen with taxes and what's going to happen for everything else, which is the very rough to the other half, and I think as everyone knows home price appreciation continues to be pretty strong in our markets and it is run over 6% across the board on a weighted average basis across our markets. And with that when we do expect that property taxes in 2019, it will be up somewhere in the 5%s for us. And of course Prop 13 in California helps to mute that a little bit for us with having 20% of our portfolio in California. So the real estate taxes being up, we think somewhere in the 5%s. We think everything else will be less than 3% to get to our - at the midpoint to get to our guidance range of 3.5% to 4.5% and as the year plays out as different things are we'll see some - some things flow through on those other expense items. But from a guidance perspective that we're comfortable providing guidance in that way, Shirley.
Shirley Wu: So off of recently mortgage rates have really pulled back especially in the last couple of months. But your move-out to home buying has - still has continued shut down. Is that something that you're concerned about or moving forward how do you think about that?
Dallas Tanner: Well, we're certainly not concerned about it because it's been fairly consistent over the past couple of years. Less than 10% of our overall portfolio on an annual basis moves out of our - our business to go buy a home at least that's what we've seen over the first few years as a public company. We look at it you know a couple of ways I mentioned in my earlier comments, we are seeing a real shift my earlier comments. We are seeing a real shift in terms of affordability to your point. And we're picking up some of the net benefit of that quite frankly in our business today. As we mentioned before, 15 of our 17 markets based on the research that we look at and follow are now more affordable to lease, and call it an entry level product than it is to buy in today's environment. So we're - we think interest rates there actually maybe push people into a longer term lease with us, or maybe offer an opportunity for consideration to choose the leasing lifestyle. And there's some markets to your point that are a bit more dislocated. I mean in Seattle, Washington for example, that differential can be as high as 30%. I mean, so we look at that as also an opportunity to make sure that we're providing a best in class service and an experience that people are willing to pay for. We'd look at that as an opportunity.
Operator: The next question will be from Derek Johnston of Deutsche Bank. Please go ahead.
Derek Johnston: Can you discuss how turn times trended in 4Q, and where do you like to see them in 2019? And really if the R&M platform drives any benefit there?
Charles Young: Yes. This is Charles. Turn times have been kind of mid-teens for us, and we'd like to bring that down. Again we've been consolidating the teams, the offices and the platforms as we get all into one platform as we talked about and finalize that integration at the first half of the year here, I think we'll be in a much better shape to bring those times down. As we think around turn, that really is the kind of quality and location of our homes and we make sure that we are delivering a high quality product, that delivery of product will relate to the R&M in terms of any work orders that may come afterwards. Part of what we want to implement in 2018 that's important is our ProCare service and that's a follow on after the turn when the resident moves into make sure that they understand their responsibility, but also we bundle some of those work orders to a 45-day visit that will allow us to kind of manage that process with the resident on the R&M side. So that's where the overlap in the transition happens, but ultimately there are two separate portions of the business. And as I've said, we'd like to bring those turn times down and we expect that we'll start getting into the low teens as we get a consolidated.
Derek Johnston: And last one for me. How many customers are now subscribed to the Smart Tech technology and what other ancillary income drivers have you guys identified?
Charles Young: So, right now we have about a third of our homes have the Smart Home installed, so a little over 30,000 about half of those are paying customers and that builds every time that we move a resident in 70% to 80% of those residents are opting into the service which is great adoption rate. In terms of other ancillary with the integration we've really been focusing on finalizing that, but once we get through the integration, we see there's opportunities whether it's in moving services or pet services, pest control items that we can think around filters, there are a number of items that we want to attack, but right now we're focused in on making sure that we finalize the integration.
Operator: The next question will be from Richard Hill of Morgan Stanley. Please go ahead.
Richard Hill: I wanted to just ask maybe a couple of questions about how you think about 2019 where you didn't give guidance, you had some success with bulk sales. So Dallas I'm wondering if you can give us any sort of color around those bulk sales cap rates lack of buyers? And then do you think that's going to continue in 2019 or how we supposed to think about that going forward?
Dallas Tanner: A number of things there is I mentioned earlier in my comments, we still see a quite a bit of demand in the marketplace for stabilized products being sold from an institutional operator like ourselves. So I would expect that we'll still explore some bulk opportunities this year and really quite frankly any year where our scale and density allow us to facilitate those types of transactions. In terms of what we did in 2018, we sold homes on average that were much cheaper than the homes that we were acquiring. I think if you look at the fourth quarter as an example, in the 1,600 plus homes we sold in Q4, we hadn't call it an average price per home around 175,000. We are recycling that money into homes that were well north of 300,000 on a per property basis. So, if you think about what those cap rates are, you certainly - when you're selling cheaper product generally on a pro forma basis, you're going to see cap rates that are a little bit higher just because your denominator being so low in terms of your asset price - pricing. And so, what we sold over the majority of 2018 were homes that were closer to six cap and recycling the homes that were well within the mid fives. Now that doesn't tell you the whole story. As you think about the way we've recycled in terms of what we bought and what we sold, on average we're buying homes that we're renting for about $500 more or less more than the homes that we were selling. So that additional $6,000 in revenue is a really smart way to operate on the long-term when you think about all the incremental cost that can go into this business.
Richard Hill: You guys put up a really impressive margin number this quarter. So, how are we thinking about that sort of near- term and long-term? So I guess the question is, is that 65% plus margin. Is that sustainable near-term and do you think you can still get that into the high 60s. I'm going to push it to 70 area. What are you thinking about there.
Dallas Tanner: I think the answer is that it really all depends on how things move forward with some capital allocation and other things. If you recall as you know fourth quarter and first quarter typically are our highest margin quarters but for the entire year of 2018 and year we certainly have some challenges. We put up a 64.5% margin which we were pleased to do even with the challenges we had and as we continue to refine the portfolio from a capital allocation perspective importantly and as Charles continues to refine what he's doing on operating standpoint and our guidance implies that the margins will be pretty similar from 2018 to 2019 based on what's put out there for a midpoint of revenue, expense and NOI guidance We think there's opportunity for that to continue to increase. Some are certainly in the higher 60s. We do have I think a half dozen markets today that are in the 70s and certainly as Dallas looks to do some things on the capital allocation side, and especially that the homes we're selling out of and some of the markets where we've been disproportionally selling. You know those markets do have lower margins so you could certainly see, you could force your way to a 70% type margin. But I think for where we're at where we want to have our homes in the portfolio I think increasing it by a few hundred basis points from where it is now into the higher 60s is certainly a very achievable goal over the next period of time.
Richard Hill: And just one final question Dallas going back to your prepared remarks on affordability, when you think about affordability are you sort of doing an apples to apples rent to mortgage payment or do you guys think about affordability relative to the cost of lending to your home differently.
Dallas Tanner: I think we like to look at it a couple of different ways. I think the way to really look at it and so that you keep everything constant and as you got to think about housing costs as not only your mortgage but also some ongoing maintenance expense that a normal homeowner would incur over ordinary course. And that's the way Burns and a number of other economists tend to look at it. We look at a couple of different pieces we've done some of our own research obviously with the data that we have and you're certainly seeing that dislocation we talked about earlier. Now there's a time and season with that your friend and there's a time and season where maybe it isn't, but right now it certainly feels like we're positioned to capture some of that affordability demand that people are looking for some relief specifically in the West Coast where we're seeing rising home prices as well as the rising rate environment not helping the homeownership story.
Operator: The next question will be from Jason Green of Evercore. Please go ahead.
Jason Green: On the deceleration in the same store revenue growth that your guidance implies, is that kind of due to conservatism on occupancy, slowing rent growth or a combination of the two?
Ernest Freedman: Well. If you look on page 23 of our earnings release Jason, I think it will help - guide what happened in 2018 and give you a sense for what we think is going to happen in - on with regards to 2019. You see in 2018, your revenue growth of 4.5% was made up of 3.9% in rental rate growth, 50 bps increase in occupancy and then other income was a little bit better than those. And so that's how you get to 4.5%. If you get to the midpoint of our 4.1% revenue growth, we think we're at similar rental type growth maybe a tick lower than that as a midpoint but very similar. As you recall we have accelerating rent growth here starting in the fourth quarter of 2018 and we saw that in January as Charles talked about. But for the first three quarters of 2018 it was the deceleration year-over-year, so we need to earn that in. And then on occupancy growth, we do expect occupancy to be better than it was in 2019 versus 2018 but not necessarily 50 bps better. Now that said Charles is off to a really good start in January up 90 basis points and we're off to a good start on rental rate as well. And so when you factor that in and that's why we don't think we probably get to 4.5% with regards to our - the midpoint of our guidance but there's certainly a path for us to do better than that certainly seeing how well we started off the year with January.
Jason Green: And then the synergies that you guys had mentioned from the merger, are those factored in the same store guidance, or do those represent additional upside?
Ernest Freedman: No. Those are factored into our guidance. And so about 90% of the synergies that hit the field hit same store, the rest hit the total portfolio of the - about 90% of our homes in the same store. So those are factored in. So, in regards to getting to numbers we expect to from an expense perspective, it's taking into account synergies that we earned in 2018 as well as we anticipate the timing on the synergies. And to be clear, those synergies aren't all going to earn in on January 1. As Charles talked about, this won't be until mid-year, and we got the whole portfolio rolled out. And as we do that it's about 60 days after that where we get to that final numbers, and then have some overlap period to make sure if things are working right in the field. And so those will take a little while to earn here in 2019, but that's all factored into our guidance.
Jason Green: And then last one for me. Total cost to maintain came in for the year at about $3,200 per home. You're talking about that increasing potentially around 3% in 2019. Previously you'd said you know the long term rate is probably somewhere between $2,600 and $2,800. So, I guess first, is that still the long term rate that you guys feel will be necessary for total cost to maintain homes? And then how long does it take for you guys to get there?
Ernest Freedman: And so we came in I think close to $3,100 and $3,200, it's $3,109 for the year. But notwithstanding, we first came out with our IPO way back a couple of years ago, we do - we did say adjusting for inflation we expect to be at $2,600 to $2,800. So those numbers are going to move on us, those guideposts if there is inflation in the R&M world. And then we've actually seen probably more inflation in that than in other areas, just on what's been going on with broader products and services. That - you always need to reset that. That said, we're not quite where we think we're going to be in and getting back on that track. And as we further optimize and get things rolled out on the R&M side, and we've talked about in prepared remarks, we had a good fourth quarter, it was came in stronger than we thought, and we're excited about that with regards to what happened with R&M to bring us down to that $3,100 number that we came in for the year, we're going to cautious as we come out this year, and make sure things are going as we expect and move forward. I think what's are fully optimized everyone's working on the same platform. That's where we have the real opportunity to get back to - the numbers that we're more like what we thought we would end up with regard to the longer-term, growing for inflation, where we thought cost to maintain would be.
Operator: The next question will be from Jade Rahmani of KBW. Please go ahead.
Jade Rahmani: Are you seeing a pickup in interest from homebuilders in partnering with you?
Dallas Tanner: Hi, Jade. This is Dallas. It's interesting, we've had certainly had a number of discussions around opportunities and we're looking at a couple of different things. As I've mentioned before, we really are channel agnostic and we just want to make sure that we're focused on the right locations. So we're interested - we like the fact that I think homebuilders are getting more and more comfortable with the idea of single family owners being in their neighborhoods and buying product. I certainly could see it becoming more and more of an opportunity for us going forward. I don't think we have to take on any of that development risk ourselves. I've been - we've been pretty clear about that, but we certainly want to look for strategic partners that we can then be potential buyer for. We think that there's definitely opportunity for us there to grow.
Jade Rahmani: And what's your view toward master plan communities that feature apartments and standalone single family rental communities with high amenities targeted toward millennials?
Dallas Tanner: Well, it's an interesting concept that continues to evolve. We certainly know some of the operators and the owners that are building that product today. I think it's kind of a shift, quite frankly, I think it plays into some of the same demographics that we've been talking about. This 65 million person cohort between the ages of 20 and 35 that are coming our way, that want quality of choice and it's no different than the business we run today. I think where you got to be careful though Jade in some of those opportunities is you've got to still stay location specific in terms of where you want invest capital. Now, if that's - if it's a small boutique opportunity in an infill location with really good rents and at the square footage is our similar to what we would normally own, it would be something we look at, what I've seen across a broad spectrum of some of that product is, it's typically been much smaller footprint between 800 square feet and 1,300 square feet and that's not really our sweet spot more or less. But if we saw an opportunity, it was infill that made sense which certainly want to look at it and we're encouraged by the fact that people are recognizing that leasing is a real choice right now for people.
Jade Rahmani: And just on the influence of i-buyers on the market. Are you competing directly with them with respect to acquisitions? Are they distorting pricing or impacting the market in anyway and is there a potential opportunity to enter into joint ventures to provide centralized property management services since they are active in many of your markets.
Dallas Tanner: Let me answer kind of those in part. And I think, you're thinking about the world the right way Jade in terms of being an entrepreneur. This is an interesting moment in time with these i-buyers. There is - certainly, it feels like there's a new company popping up every day, who knows what will actually stick or last or who will be the kingpins in the long-term but we've - this is public record, we've been supportive of companies like open door and an Offer Pad, and Zillow that are out there making the home buying and selling experience much easier for the customer. Now 5.5 million transactions in the U.S. occur every year. So as you think about that. I mean there's plenty of space for brokers, i-buyers and individual investors to be buying and selling homes in the U.S. We certainly want to look for strategic partners that we can offer - that we can partner with, they help grow our footprint and our portfolio. We get the question a lot about what you want to do with third party management, that you could certainly see a day where that could be interesting. But now for us, it's just not really our focus. Our focuses on growing our own footprint, we see plenty of opportunity within our own book of business where we can continue to grow the Invitation Homes product along with the Invitation Homes didn't finish standards as well as didn't finish standards as well as the service levels that those - that our customers are wanting to expect. So it's not in our near term horizon by any stretch.
Operator: The next question will be from Wes Golladay of RBC Capital Markets. Please go ahead.
Wes Golladay: I can appreciate that there is a lot of moving parts last year on the expense side, volatility to the upside and the downside. But this year you have a 1% range on your same store expenses. Should we take that as a sense that all the moving parts are behind us and be more of a normal environment this year?
Dallas Tanner: Wes, we certainly think so we want to be cautious and want to set a range that we thought was appropriate. At the end of the day, we feel a lot better sitting today with the lessons learned over the last 12 months. You recall last year at this time we've provided guidance in the merger just closed about 60 days ahead of that and it actually closed ahead of schedule, we all thought they would actually close in early January, but fortunately we're able to get it done quicker. We're bringing two companies together, we run on the same platform, we're learning how each of the companies were doing things. And in a hindsight we've got a lot of things right, but a couple of things we did and unfortunately that caused some noise. We definitely feel much more confident, but again we're not 100% of the way there as we talked about in couple other things, but we're certainly so much further along than we were. So, we are feeling better for sure than we were last year and certainly as the year progressed.
Wes Golladay: And then you made a comment about the R&M being a little bit lower from the leasing from early last year, but looking at this year what are your expectations for blended rent growth for each of the quarter and not by quarter but just in general, do you expect to continue to modestly accelerate throughout the year based on those supply and demand you're seeing?
Dallas Tanner: We want to be careful with that. I did mention it in the prepared remarks, we obviously comp does get harder throughout the year as we make sure people realize that that means you're likely to see higher revenue growth earlier in the year because we don't have leasing later in the year. We'll see how it plays out. It's January, it's early in the year. We make our hay starting in mid-March has found when peak season starts for us and goes through end of July or early August. So, certainly when we're talking to you guys in about 90 days about first quarter results, we'll have a much better feel for whether we've seen that acceleration continue the pace it did in January.
Operator: The next question will be from Hardik Goel of Zelman & Associates. Please go ahead.
Hardik Goel: As I look across the guidance range, my first question is would you consider the low-end of guidance to be as likely as the high-end of guidance? And as a follow-up to that, what are the components of guidance that you look to as being drivers of potential downside to guidance, the midpoint and drivers of potential upside as well?
Dallas Tanner: Sure. Hardik, I think by definition we think it's equally likely as we put out our guidance at the low side could be a hit as well as [indiscernible]. We're certainly optimistic that we think we can do better, but that's the point of the range as we think that there are kind of equal weighted, but we certainly are excited how our January came out and we'll do our best to get more toward the high-end of those ranges. In terms of looking influence our ability to have upside to that or not, again peak leasing season on the revenue side would be the key and we're real pleased with how January came out for sure. And so, I think that that's going to be what will swing us in terms of the rent rate achievement. And then we're all always refocused first, but we've been able have been successful especially with lower turnover. We saw the lowest, we've ever seen as we looked at the fourth quarter that's really helped on the occupancy side. On the expense side, I think it's probably the obvious, it's just we know that we have troubles last year with comparison to maintenance cost to maintain. We're feeling better about it than we have, but we're not 100% there in terms of having everything optimizing and running. And the proof will be in the pudding - putting just like it is on the revenue side for peak leasing season, will become the summertime, when we hit the majority of our reporters that have to do around the HVAC season, will be better prepared for that this year by leaps and bounds than we were at last year but I think you know that will be the true test for us on the expense side as we get into peak order water season. How are we doing, are the teams optimized or is everything working the way we expect it to and we're pleased with the path we're on right now. And you know by midway through the year, you know come that the August call - the late July-August call, will have a pretty good sense, I think of how the year is playing out on the expense side.
Hardik Goel: And just one quick one, if you will indulge me. The move outs to buy were there a big driver of turnover being lower? Do you see them trend lower year-over-year or what was the trend there?
Dallas Tanner: Year-over-year they trended slightly lower. They've actually been more lower than the previous quarters and for the year they were definitely lower. So I think it's just - I think it's more broadly that people are pleased with the services that they're getting and are staying a little bit longer and fourth quarter is not as much activity as you know hard, so it's I don't know to draw a lot of conclusions from fourth quarter but we did see a little lower quarter-over-quarter like we did every other quarter this year. And so that certainly did help with the turnover number.
Operator: The next question will be from Alan Li of Goldman Sachs. Please go ahead.
Alan Li: I had a question on G&A, is your 4Q number at good run rate and how should we think about incremental synergies savings real life mid quarters, as well as general seasonality?
Dallas Tanner: So we're right at a walk in our earnings release that showed how you get from where we ended up for 2018 for core FFO and to the midpoint of our guidance for 2019. And within that walk we did call out the fact that the growth property management expense in G&A combined, we expect to be about a penny better and it's not quite a penny around up to a penny. And so we are into a little bit better more so in G&A than in property management expense, but both numbers should be down year-over-year from where they were in 2018.and that's mainly from the earning of the synergies that still to go, and as well as the ones that happened in 2018. And there's not much to go still on the G&A and P&A numbers, so it's mainly their earning from 2018. But then understand, there are some cost inflation baked into there too, cost will remain static in terms of what's happening with compensation costs for the organization and other costs, and so you have a synergy good guy that more than offset an inflationary increase in those costs for 2019.
Alan Li: And I was wondering in terms of seasonality G&A how should I think of that.
Dallas Tanner: There's really not a lot of seasonality in G&A, that should be unless we - the only thing that potentially would do that would be around our bonus accruals, we try to do a good job throughout the year anticipating where those will come out. So you should see that be pretty steady each quarter throughout the year.
Operator: The next question will be from John Pawlowski of Green Street Advisors. Please go ahead.
John Pawlowski: Dallas and Ernie, could you provide the acquisition and disposition volume targets for this year.
Ernest Freedman: John, we're going to give early guidance around numbers that feel pretty similar to last year. We think we'll buy somewhere between $300 million and $500 million of assets on our base case scenario and we'll probably sell somewhere between $300 million and $500 million in assets.
John Pawlowski: And then Ernie, I understand you're not giving repair and maintenance expenses, I guess I'm still having trouble understanding where the easy comps are going, and middle of the year, you guys increased expense guidance pretty meaningfully that implied over $10 million of what was described as transitory costs. I know you're not completely refined but it still seems like a very, very easy comp that doesn't seem to be baked in the guidance, so I'm hoping you can provide a little bit more of a walk.
Ernest Freedman: John, I know - I saw what you had published back in December where you broke things out of that and more specifically about expectations from some of the different - the expense line items. And as I mentioned earlier, for net cost to maintain overall, we do expect to be up about 3%. And I know you had a number out there that I think was down 4% and of course with our better fourth quarter performance, I think that number is just to something that's probably closer to down 2%. So, there's certainly a disconnect from what you thought we would be with what was happening in the repairs and maintenance world versus where our guidance has come out. It might be best for us to try - talk offline to give you more information to help you try to bridge the gap between the two. At the end of the day, we had some good guys and we had some tough items that would help us from a comparable perspective. We also taken - we have taken account where we think cost inflation is going on a year-over-year basis if none of that was happening. And we don't need a good discussion and announce what your assumption was there versus what ours was. But overall we think we set ourselves up for a number that is achievable on all the expenses where we can get there and of course we're going to do our best to try to do better with some areas where we had some negative one timers last year and hopefully that sets us up to do a little bit better, but also a lesson learned from last year when to go out and make sure we're - we put out numbers that are achievable and we feel good about and we're confident in.
John Pawlowski: A follow-up on Wes's question around expense variability and I'm less concerned about what happened in 2018 and 2019, but just trying to figure out this business over the next three years to five years, but using 4Q 2018 as a case study to do that, the - so full year 2018 expenses come in well below the revised guidance range and 50% of your expenses actually hit your expectation with two months left in the year that implies huge variability for the rest of the line items. I know I've asked this question in the past, but it seems that this business model is going to be a lot more variability - have a lot more variability on expenses versus multi-family do you believe that to be the case and then a little bit color there would be great?
Ernest Freedman: Yes. John what I would tell you is I can speak for us. I don't want to speak broadly for the business. There are two companies or public companies and the other company does a great job with what they do and they can speak to that - they certainly speak to their strengths and what they do well. So just talk about Invitation Homes. We went through a big merger in 2018 and it was a little bit of - so many things went well for us, it was a little bit of surprise and caught us off guard about having some issues on the R&M side. And as we were wrapping up the third quarter and preparing for the third quarter call and it was felt that it was appropriate to revise our guidance. We want to do it in a way that we were confident we wouldn't mess. And on the - in hindsight, we overshot. I would rather have done that than not. And it turns out that the work is being led by Charles and Tim Lobner and all our folks in the field. They did even better than our wildest expectations in moving some of these things forward. And now there's still more to go. It's - I don't want to draw too much conclusion, John just from one quarter. You said the right thing, it was sort of the long term. Over the long term in these, how many companies have been in this - public for a long time and certainly Invitation Homes was before our merger. You didn't see that variability. So I think the majority of the variability is specific to some of the things that pop up when you bring two very large companies together that we're doing things a little bit differently and how to get it on, still not completely on one platform. The proof will be in the pudding over the next couple of years. Will this business be a little more variable than multi-family? I guess I'd ask you to look back in the 1990s when the multi-family companies were doing mergers and when you saw that kind of activity and go back and see with the variability wasn't their expenses when they were putting much smaller companies together. I suspect that they had similar variability in I think over time. It's a residential business that should be more predictable than other businesses; it could be now comparable to the multi-family. But certainly the other businesses so I know it's tough when we're in the moment John, but we're looking at a long term and feel a lot better where we are today than we were a year ago for sure. And we're all hoping, we want to see less variability in these expenses going on and we think we're going to continue to earn into that less variability as we continue to move forward.
Operator: The next question will be from Ryan Gilbert of BTIG. Please go ahead.
Ryan Gilbert: I understand that the demand for single-family rental product looks strong on an overall basis, but are there any markets in particular where you're seeing elevated move outs to buy or maybe just lower than expected traffic from potential renters?
Charles Young: No. This is Charles. We really haven't seen a demand as we said has really been strong across the board. Our turnover has been low which has been great, affordability is working in our favor. You can see our occupancy grow in Q4 and continue into January. In addition to our rent growth in January was up across almost all of our markets on a blended basis. So we're really - we're optimistic on how we're going into the year. There's always a few markets that we can see improvement and we've already started to see that in January and clearly we're being led with a lot of the West Coast markets and the demand that's out there.
Ryan Gilbert: And then how does the labor market feel for your field repairs and maintenance, property technicians? I understand it was you know pretty tight last year, has there been any change in your ability to source labor either positively or negatively?
Charles Young: The markets are tight, but we haven't seen any impact to our business in that perspective. I think we have a couple of real positive structural advantages as you think around how long our leadership has been here or scale that we have. If we do lose somebody, we have a deep bench of talent that we can pull from, and ultimately our employees enjoy our high dynamic environment and our mission of serving our residents. So you know we know that's been a conversation over the summer, and we're watching it closely, but we haven't seen any material impact to our techs.
Operator: The next question will be from Haendel St. Juste of Mizuho. Please go ahead.
Haendel St. Juste: First, Alex, congratulations. I'm curious if there is perhaps anything where your view may differ at all from your predecessor? Like say perhaps doing single family rental development in-house, maybe more meaningful changes on the geographic footprint, target leverage or anything else of that nature?
Dallas Tanner: It's a good question, a fair question. Thank you for the congratulations. Look I think if you - if Fred were here, I were here, quite frankly any of the other leadership that have been a part of Invitation Homes, our mission has been pretty consistent in terms of making sure that we had scale, density and high touch, high quality service, and good location. I think what Fred brought - my predecessor brought to the table was this, I singled towards some of the tech enhancements that were available to us. And so Charles and Fred were cutting edge in terms of Smarthome capabilities, some of those things that they're doing really well, we've obviously adopted that. I think as you think through what we believe kind of butter on the bread so to speak is just that consistent pragmatic approach to how you run your business. And so that won't change. And what I talked to earlier in my prepared remarks about staying true to our DNA, I mean, our DNA and you guys probably get sick of hearing it. But I would rather pay for the right locations and make sure then our DNA and you guys probably get sick of hearing it but I would rather pay for the right locations and make sure that we have infill dynamics happening around our portfolio. Then look for scale and growth opportunities where I've got to be outside of I call it infill locations. And so I think we don't differ all that much. And the good news is we've taken the best from both organizations on the path forward, Charles and I worked very well together; Ernie and I have worked together now for three plus years. We've got a nice energy amongst the management team and so we're excited to really push forward. I think to some of the earlier questions around what are the opportunities for growth we certainly see quite a bit of organic growth inside of our portfolio today that we can still go cash. So Charles was right when he said that we want to focus on making sure we finish the integration but we've got playbook of things that we're thinking about that we want to try to roll out over the next couple of years that we think will not only enhance the value of the real estate and the rents but make the customer stickier. And I think if we get really good at that piece of our business we're not going to be talking about the history of Invitation, this is about where are we going
Haendel St. Juste: Another question I guess on the same store expense outlook. I'm curious how much asset sales might be helping that line item and then as you confirm if the assets that you're contemplating selling are included in the same store pool and in that same-store expense right.
Dallas Tanner: So I would say that the assets that we have sold over the last period of time it's been kind of neutral to our results as the things came out from the bulk dispositions we saw the numbers looked like before and after it really didn't have a material impact with regards to what would - our numbers - what our numbers would have been for over 2018 and then for 2019 Haendel there are homes - there's homes that we've identified for sale and we've vacated them. That's when we take them out of same store because those specifically the homes we're trying to sell to end users, not to revoke disposition. If there's homes that were identified for sale that we think might go through a bulk disposition and they remain occupied those who will keep the same story until we get to the point where we have them under contract, we have a hard deposit and it's highly certain that the transaction is going to happen. So what happened is throughout the year you will see some homes move out of same store as they kind of go through the process that are identified for sale. So the answer is a little bit of both, some of them are out of same store today, but there will be some that we sell today that are currently in the same store.
Haendel St. Juste: And last one for me. You've mentioned Seattle and California being some of your better markets, I'm curious where are the more challenging markets and then what are the - what type of delta are you projecting between in terms of revenue between the upper and lower end of your portfolio in terms of revenue?
Charles Young: So, this is Charles, I'll jump in on the markets where we see opportunity. If you look in the results we put out the Dallas, Denver, Houston, our occupancy was below where we wanted. We've seen a really nice trajectory in all three markets. Dallas has moved up into the 95%s and we've seen really good blended rent growth increase in January as well, we've sustained that occupancy. Denver is on a really nice move where finished January above 95%, 95.2% and February continues to rise with blended rent growth also going. Houston we've maintained our occupancy up to 95%, rent growth kind of flat. So we see those as markets that will continue to get better throughout the year. If you look back over 2018, we made really good progress on our Florida markets and with such a large presence there, Orlando has been strong for us all year, but Tampa and South Florida have really come along. So we're excited about getting the whole portfolio balanced in and operating so much of what we've seen out on the West Coast and Orlando markets.
Haendel St. Juste: And quickly on Tampa, I recall there are being the issue last year with some of the personnel, just can you quickly update us on that stands personnel back in place, regional or local property management teams fully operating and everything is - I guess gets back to where you - you want it there or can you maybe give some color on that?
Dallas Tanner: We're in really good shape in Tampa. A lot of the noise you just discussed was early in the year. We were able to address it quickly, as we talked about. And part of that is showing up in our results in Q4 on both the top line and the bottom line. So we feel really good around where Tampa stands for us.
Operator: The final question today will be from Anthony Paolone of JPMorgan. Please go ahead.
Anthony Paolone: So thanks for the disposition and acquisition guidance nets to zero on how do you think about that versus maybe just reducing - producing leverage our average or faster?
Dallas Tanner: Well that's a great question. We have to have a base case scenario and we feel very comfortable to Ernie's earlier points on guidance with the guidance we're putting out, we think we can acquire creatively somewhere between $300 million and $500 million. We think we can also recycle you know easily between $300 million and $500 million on the sales side. You know it's certainly if there's something opportunistic, where we look at a situation that it might make sense. We could look at selling or buying more, but I would say that will help us the base case scenario that we laid out will help us achieve our goals we want to make sure that we have, a kind of an eye focused single to getting to investment grade and we know that by you know calling and selling the parts of the portfolio, what we're seeing underperformance in the recycling that cost little or you know prepaying debt will put us on that path to that investment grade balance sheet that we ultimately want. Ernie, I don't know if you want to add anything to that but I think that's generally how we feel about it, Andy.
Anthony Paolone: And then you talked a lot about rate in your - occupancy and those drivers to the same-store revenue picture. Is there anything appreciable to think about through either revenue management or other income that might contribute or not in 2019?
Ernest Freedman: Yes. We think other income will probably grow it a little bit less of a pace than it did in 2018, but not significantly so. But again that's our base case to get to our midpoint of our guidance. From the revenue management perspective, overall, the team's doing a great job with - under Dallas and Charles leadership to try to optimize and what we've seen - we talked about it going into the fourth quarter, we felt really good going into the off season being highly occupied and then Charles talked about where the January numbers are. It's really putting us in that position to be more offensive than we've been in the last couple of years as we get into peak leasing season, that's the wrong way to say more offensive. We're really pleased with where we're at and we can optimize. And so the teams doing a nice job there and again this is another year of knowledge of both portfolios and teams working together, so that sets us up - we're set up well where we need to start accomplishing as we get to March, April and May.
Anthony Paolone: So you think that the revenue management is actually been part of the driver to kind of the strong occupancy in some of this rate growth?
Charles Young: This is Charles. Absolutely. That was one of the first parts of the combined company that we put together and once we got onto the hood we were able to take best practices of both and it showed up early in the year but by the second half of the year we really hit our stride and it showing up well in Q4 and continues into 2019.
Anthony Paolone: And then last question just on G&A you kind of talked about that, but just on non-cash company appreciable difference in 2019 versus 2018 on that front?
Charles Young: There will be, because a lot of that non-cash comp that came from the IPO finished its vesting in the early part of 2019. So the majority of that expense was recognized in 2017 and 2018. So, the non-cash comp around share based comp it does come down materially. Let me - we had a question about that earlier too. It's interesting about how we can get something out there so folks can get on more comfortable about modeling equity. It doesn't come into our core FFO number because it's been so volatile, going forward it will be much less volatile. But now that we're past that to your point, there was a vesting period on the equity grants associated with the IPO for those of us, for those folks at Invitation Homes who are here for that. We'll get to much more of what I call a normalized run rate of share based comp but let me put our heads together and we'll try to figure out a way that we can and provide some more help there for folks
Operator: And ladies and gentlemen this will conclude our question and answer session. I would like to hand the conference back over to Dallas Tanner for his closing remarks.
Dallas Tanner: Thank you again for joining us today. We appreciate your interest and the team looks forward to seeing many of you in March. Operator this concludes our call.
Operator: Thank you sir. Ladies and gentlemen the conference has now concluded. Thank you for attending today's presentation. At this time you may disconnect your lines.